Operator: Good morning. and welcome to the Coeur Mining First Quarter 2024 Financial Results Conference Call. [Operator Instructions] Please also note that this event is being recorded today. 
 I would now like to turn the conference over to Mitch Krebs, President and Chief Executive Officer. Please go ahead. 
Mitchell J. Krebs: Okay. Hello, everyone, and thanks for joining our call. Before we start, I want to point out our cautionary language on forward-looking statements in today's slide deck and refer you to our SEC filings on our website. I'll kick off with some brief highlights on Slide 3 before turning the call over to Mick, Tom and Aoife. Overall, we had a solid first 3 months of the year, both Palmarejo and Wharf had strong quarters compared to plan, which puts the company in a great position for a successful 2024.
 Slide 4 does a nice job of showing where production stood after the first quarter compared to the quarter-by-quarter guidance profile we provided earlier this year. We often talk about the strategic importance of being a multi-asset company and having a balanced portfolio of operations. And the first quarter was a great example of that. Palmarejo and Wharf's outperformance helped to offset Rochester's planned transitional quarter over to the new crusher, which began to process fresh ore on March 8. Commercial production was achieved just 3 weeks later, which was a great accomplishment, but it's what has been happening underneath the hood there that leads to our excitement for the balance of 2024 and beyond. More on Rochester in a minute. 
 On a company-wide basis, overall revenue increased 14% year-over-year, while adjusted EBITDA jumped 76%. Capital expenditures dropped off significantly during the quarter with the Rochester expansion now in the rearview mirror. We're on track to flip to positive free cash flow in the second half of the year which will be earmarked for debt repayment. That deleveraging process can be further accelerated assuming current silver and gold prices continue leading to a rapid and dramatic improvement in our overall financial condition and outlook. In the middle of all these positive catalysts, [ Stans ] Rochester, which is routinely processing and placing over 70,000 tons of ore per day and occasionally exceeding run rate throughput levels as we put the new crushing circuit through its paces. 
 The rapid ramp-up curve is a real testament to the knowledge and operating experience the team is bringing to bear at this world-class operation. Before turning the call over to Mick for some additional Rochester details, I want to touch briefly on our progress and plans at some other key initiatives that are expected to augment the near-term growth we anticipate from Rochester. First up is Kensington, which is in its final full year of elevated investment aimed at extending its mine life and enhancing its operational flexibility. Positive exploration results and impressive underground development progress are pointing to the potential for a substantial mine life extension by the end of this year, which Aoife will talk more about in a few minutes. 
 Over the medium term, we continue developing a comprehensive drilling and development plan at Palmarejo on the recently occurred lands located to the east of the current operation. The goal is to hit the ground running once the acquisition of these concessions from Fresnillo is completed, hopefully, later this year. The nearest of the 2 acquired blocks to Palmarejo's existing infrastructure sits just outside the boundaries of the Franco-Nevada gold stream and has the potential to materially supplement our production and cash flow profile within the next 3 years. 
 Over the longer term, excitement continues to build at our high-grade Silvertip polymetallic exploration project in British Columbia, which Aoife will cover shortly. The convergence of all of these catalysts, higher commodity prices, a completed Rochester, a stable suite of U.S.-centric mines in North America and a world-class Canadian exploration project sets us apart from our peers and leaves us very well positioned. Finally, we published our 2023 ESG report last week, which is summarized on Slide 16. The report does a great job detailing our leadership in this area and highlights our efforts to continue raising the bar as we try to keep pursuing a higher standard. 
 With that, I'll turn the call over to Mick. 
Michael Routledge: Thanks, Mitch. Before reviewing our first quarter operating results, I'll have a recommendation to spend some time with Coeur's 2023 ESG report, if you haven't already. While Rochester's construction was a significant priority over the last 3 years, I'm an operator at heart, and experiences told are building a very strong foundation in sustainability, responsibility and safety delivers operational success. In addition to the strong votes Mitch highlighted, I'm particularly proud to call on 2 headlines from the ESG report. 
 First, our #1 position among our peer group in key safety indicators for the second year in a row. And second, our decision to adopt the global industry standard on tailings management. One of which 17% of non-ICMM member companies in the industry to do so. [indiscernible] is not always the easy thing to do. But is the right thing to do, and we'll continue to dedicate ourselves to leading in both these areas. Turning to our quarterly results. We are pleased with the solid start to the year. [indiscernible] illustrates, 2024 production is expected to be significantly moved towards the second half, consistent with the production guidance we provided earlier this year. Watch up as Wharf of and day-to-day operating improvement will drive most of that change in quarterly production. 
 Staying with Rochester, silver and gold production in the first quarter totaled nearly 700,000 and 5,800 ounces, respectively, right in line with our expectations. Following the fourth quarter of [indiscernible] ounces from [indiscernible] closest to the new [ Pad 6 ] liner, our focus in 1Q was commissioning the crusher and starting to place more into cellars using only crushed ore from the new circuit which commenced on March 8. The crushing circuit wins when we want it to run, and we're maximizing our planned that used to refine and optimize operations. What has really stood out in a way is the tremendous flexibility of the new free stage line, having intermediate stockpiles and ore feed can bypass certain stages as we did giving the team unprecedented levels of control of our ultimate size traction of the ore [indiscernible]. Mining rates and refining capacity are more than keeping up with the increased throughput. 
 Looking ahead, we remain on track to reach the conclusion of the ramp-up by the end of the second quarter. The priority in the second half of the year will be on optimizing mining and processing rates and dialing in push size to maximize recoveries. Rochester remains on track for 2024 gains. It's an exciting time, and we are pleased with our progress, while we're keeping our head spinning as there remains more work to be done to get this operation properly positioned for its long run in Northern Nevada. 
 Moving on to Palmarejo on Slide 23. The team hit the ground within the first quarter, reaching its highest quarterly gold and silver production levels in several years, higher-than-expected growth from Guadalupe and [indiscernible] drove strong quarterly free cash flow and positions us well for the balance of 2024. Continued high [indiscernible] prices in Mexico and other headwinds and cost saves on Palmarejo were [indiscernible] charged. The team continues to focus on mining and plant efficiency programs aimed at leaning in costs and with continued inflationary pressures in Mexico. 
 Moving to Kensington. The focus in the first quarter was on stabilizing the operation following the challenging 2023 as our multiyear investment in mine development continues. Mitch mentioned the positive results on that front with that investment now about 71% complete for the current scope of the project. We are seeing a clear path to substantial mine life extension there and perhaps more importantly, to the prospect of increased work phases undergoing with it more consistent performance. 
 Lastly [indiscernible] the results was ahead of plan with the first quarter benefiting from [indiscernible] reach. Due to seasonality, the first quarter is typically -- was lowest of the year, so what particularly proves through after a good start in 2024. With 3 mines performing well, and Rochester well positioned to complete the ramp-up, we remain comfortable with our 2024 production guidance. 
 With that, I'll pass the call over to Tom. 
Thomas Whelan: Thanks, Mick. I'll touch briefly on our first quarter financial results before spending a moment discussing our financial position and balance sheet, including our plans to materially delever beginning in the third quarter. As detailed on Slide 9, higher year-over-year gold production led to a 14% increase in consolidated revenue and a 76% increase in adjusted EBITDA driven by the strong start to the year at Palmarejo and Wharf, along with continued favorable metals prices. 
 As expected, we had lower Q1 production at Rochester due to the decision to dismantle the Stage 4 crusher during 4Q 2023. The dismantling of the Stage 4 crusher is now complete, which has provided access to higher grades from the Yankee pit. Turning to costs on Slide 11. We continue to see moderating inflationary pressures across our U.S. operations. However, we are experiencing inflationary pressures in Mexico. Costs in Mexico have also been affected by the continued strong peso. Operating cash flow during the quarter was impacted by 2 onetime annual payments totaling $22 million. The annual EBITDA mining tax in Mexico and the company-wide 2023 annual incentive payouts, along with the $8 million semiannual interest payment on our senior notes. 
 Turning to the balance sheet. The company is poised for a sustained period of positive free cash flow following the successful ramp-up at Rochester as Mick described earlier. Capital expenditures at Rochester were approximately $20 million during the first quarter, a $45 million decrease from the average quarterly Rochester CapEx in 2023 which contributed to the lowest quarterly capital expenditures level at Coeur since the fourth quarter of 2020. As noted on Slide 12, we ended the quarter with an improved net debt-to-EBITDA ratio of 3.2x and approximately $225 million drawn on our $400 million revolving credit facility. 
 We would note that we do expect to draw further on the revolver during the second quarter as we await the breakthrough of silver ounces at Rochester. However, beginning in the third quarter, the company expects to begin aggressively paying down the revolver and our prepaid gold sales agreements as we drive towards achieving our long-term leverage targets of total debt-to-EBITDA of 1x and net debt-to-EBITDA of mill. While our work is not yet done, we entered 2024 a significantly stronger company with improving flexibility to fund our robust asset portfolio and maximize our potential in a strengthening commodity price environment. Two final important reminders. No ATM is currently in place or is being contemplated and the company's remaining hedges roll off at the end of the second quarter commensurate with the Rochester ramp up to full nameplate capacity. 
 I'll now pass the call to Aoife. 
Aoife McGrath: Thanks, Tom, and good morning, everyone. To continue the good news story presented by Mitch, Mick and Tom. Exploration is off to a great start in 2024. A key highlight of this quarter is the drilling at Kensington, where the program is going very well, and the rigs are overperforming relative to budgeted footage. At lower Kensington, the recently identified Zone 50 is being traced over additional strike length and is continuing to be a focus for exploration to add to mine life in the very near term.
 In Upper Kensington, results from already outlined portions of Zone 30 continue to impress. And excitingly, potential for new parallel zones has recently been identified and is being investigated. At the nearby Elmira deposit, infill and extension drilling continued to intersect wide and rich zones, especially in the upper portions of the deposits. There is high confidence that inferred resources here will be converted this year. By the end of 2024, we anticipate extending mine life to approximately 5 years representing roughly a doubling since the start of the program 2 years ago. At Rochester, drilling commenced early in the second quarter with the program there designed to test high-grade potential on recently identified structures around the Rochester pit. Preparation work for drilling at Nevada Packard, located south of Rochester is also well underway. 
 At Silvertip, we began the year with a comprehensive project review that included one of the world's foremost carbonate replacement deposit experts. Significant leaps forward are being taken in our understanding of the controls to mineralization. And this new knowledge is guiding the planning for Coeur's busiest summer program ever. We aim to drill much more aggressive step-outs from known deposits and to identify high potential targets. 
 Ultimately, the goal is to ensure rapid resource growth over the next few years in order to allow a restart decision on this world-class high-grade deposit. At Palmarejo, our aggressive 2024 programs are well underway with a key focus being scout and expansion drilling across the district in order to fast track the growth of our inferred pipeline. This will include scout drilling on 3 new targets outside the area burdened by the Franco-Nevada stream. At Wharf, we're finalizing preparations for brownfield drill programs aimed at adding very high return [indiscernible] to our mine life. 
 With that, I'll hand the call back to Mitch. 
Mitchell J. Krebs: Thanks, Aoife. Before moving to the Q&A, I want to quickly highlight Slide 13 that summarizes our top priorities for the remainder of the year. Following seemingly every conceivable challenge thrown our way, we've arrived at this inflection point that we've been working to work for almost 4 years. With the safe ramp-up and optimization initiatives at Rochester remaining job 1, we will continue pursuing the opportunities at our other assets I mentioned earlier. As we reach the free cash flow inflection point in the second half, we look forward to beginning the deleveraging process and ending the year with a lot of momentum as we head into what should be a very strong 2025.
 Our U.S.-centric exclusively North American precious metals assets offer investors a unique investment proposition that is extremely well positioned for success, particularly in this current metals price environment and with silver supply-demand fundamentals now better than I've ever seen them. With that, let's go ahead and open it up for questions. 
Operator: [Operator Instructions] And our first question will come from Michael Dudas with Vertical Research Partners. 
Michael Dudas: I have 3 quick questions. First, Mitch, relative to Rochester, it seems like [ wings ] are going quite well, you're hitting some milestones. As you reach this end of second quarter milestones, and looking at the second half, how do you feel relative to productivity to getting kind of a more normalized basis on this mine given all the changes that have occurred the last 3 years or so. 
Mitchell J. Krebs: Yes. I'll hand that one over to Mick in a second, but I think it's fair to say that we get into the second half of the year at that run rate of around 88,000 tons a day. There'll still be a lot of optimization work to do, particularly around crush size and making sure we get to where we want to get there in terms of more of a 5/8-inch average product size out there onto the new Stage 6 leach pad. So there'll be some dialing in to be done, but we'll still see that pretty significant drop off in our cost structure, driven mostly by the volume pickup. 
 And then hopefully, we'll be heading into 2025 with some of those tweaks behind us and set up to see even some further improvements on the productivity and cost side. Mick, did I leave anything. 
Michael Routledge: It's good. Q2 is really about getting open -- steadily running at that average rate, and it's an average rate at 88. So we're already seeing that we can run a little bit higher than that, which gives us that good opportunity to really study that rate out at 88,000 tons for the second half of the year, at which point, when we dial in the crush size, if you remember the technical report was 5 years, and we're at roughly the [indiscernible] that and some confidence that we should be able to dial in to that 5-years crush size. We don't know exactly how quickly, but we certainly expect that to be doing well through the second half of this year. And then if that all comes together, then we should land on more recovery curves, and we should see the performance that we expected to see. 
Michael Dudas: Secondly, regarding Palmarejo, encouraged about some of the activity you're doing there on the exploration front. The thought on some of the opportunities outside the royalty boundary, which would be very helpful given where current gold prices are. Do you see some interesting opportunities and line of sight there to kind of work that through over the next couple of years into the mine plan? 
Mitchell J. Krebs: Yes. Yes. We share your excitement. There -- in my mind, there are sort of 3 levels of opportunities there. There's the extensional stuff that's right to the east of that Franco-Nevada property line or the AOI boundary. And those are extensions of things like Nacion and Independencia where we are currently mining. So those represent more kind of near-term opportunities. And then if you skip over further to the east, the company we acquired back in 2015, Paramount Gold and Silver, which gave us all that land over there to the East. They had a large resource over in what's called the [ Guazapares ] area. So I think with -- in the medium term, we look at that as an opportunity to get in there, twin some of that historical drilling and get a resource onto our books in the medium term.
 And then longer term, in between those 2, our team has been busy out there sampling and mapping and developing some drill targets that we think represent some big longer-term opportunities to add new sources of production out there to the east. Aoife, anything you want to add to that? 
Aoife McGrath: No, I think you've fully covered it, Mitch. But yes, there's -- there are definitely short, medium and long-term opportunities out there. And just to reiterate that it's a typical case, I suppose, in exploration. Until the work is actually -- the basic groundwork is done, you don't fully understand the cost activity. And we've been really busy over the last 2 years doing that mapping and sampling. And as we get to understand the area to the east, a lot more we're seeing the same level of prospectivity, especially in the [indiscernible] that we see on the project. So we're very happy with how that's progressing. 
Michael Dudas: Appreciate that. And just my third to finish up here. Good to see the hedging roll off here in Q2. Given where prices are and maybe even further, what are your thoughts on any hedging potential going forward? And what would be the rationale behind doing or not so doing it? 
Mitchell J. Krebs: Yes. Our thinking there, Mike, right now is we've had hedges in place during the construction of the Rochester expansion to service sort of an insurance policy in essence, as we've gone through this period of capital intensity. For now, we have nothing, as you pointed out, beyond the end of the second quarter and don't have any current plans to add anything, at least as we sit here today. But Tom, anything you want to... 
Thomas Whelan: No, I think yes, that's correct. People understood the need both for our equity holders as well as our creditors understood the importance of hedging, but no plans to hedge once the ramp-up is complete? 
Operator: And our next question will come from Mike Parkin with National Bank. 
Michael Parkin: Couple of questions mostly tied to Rochester. A couple of other questions were answered already on the first line of questioning. With Nevada, Barrick seems to certainly talk about labor tightness. Is that something you're seeing at Rochester? Or are you guys managing pretty well on staffing? 
Mitchell J. Krebs: Yes. We were just talking about that earlier this morning, Mike, we have had to add some people out there with this expansion, although not that many. And the team has not had an extremely difficult time filling those roles. I'd say where we do see things similar to Nevada Gold Mines is in some of those skilled trades that I think not only mining but other industries are challenged to find electricians, mechanics, welders, things like that. That's a more challenging part of the labor pool. But in terms of what we've had to do at Rochester. We've had a lot of success on the labor front. But Mick, anything you want to add to that? 
Michael Routledge: Yes. I mean, a super efficient expansion, of course, only 20% increase in the headcount. And that 20%, we managed to get those folks all on early to support the operational readiness program. And that's why we really saw that commission and this ramp up going so well, everyone was really conversant with the project. And now we're just seeing really the quite typical turnover, I mean, everywhere, specialist skills like electrical, these sort of things wait a little bit longer to get the right person on the team. But otherwise, we're not seeing anything really giving a lot of concern. 
Mitchell J. Krebs: A lot of excitement out there, as you can imagine, Mike, good long mine life, good culture, long track record out there in the community. So it has a lot going for it, and it's a place people enjoy working. So we've got a lot going for us out there. 
Michael Parkin: I guess that's an excellent point. You're -- on a relative basis, you're a lot better to commute to versus a lot of the Nevada Gold Mines operations in terms of like location relative to local communities with decent-sized labor forces. 
Mitchell J. Krebs: No, fair point. We bring people from a lot of different directions that otherwise probably couldn't or wouldn't make the drive all the way over further to the east there around LCO. The Lovelock area, [ Person ] County is a little bit more centrally located up there in the northern part of the state. So a fair number of our workforce comes from further to the west and into the Southwest [indiscernible] places like that. 
Michael Parkin: Right. Okay. And then you guys took down the old crushing circuit to access better grades. Can you give us a sense in terms of what you'd expect to be stacking on a blended grade basis? Is that something that will improve over the course of the year? Or should that be fairly steady state? 
Mitchell J. Krebs: Well, this year, now that we're into that area under the old ex pit that we call Yankee. The Yankee pit, the Yankee zone does have some higher-grade material, particularly on the silver side. And that was one of the big incentives for getting in there and getting that ex-pit removed when we did so that we could start prepping that area so that we could be in there here in 2024 from a mining standpoint, which we are, and those grades seem to be as advertised. And so this year, you will see a little bit on the Silvertip, on the silver gold or silver grade profile relative to outer years as a result of being in that Yankee area. 
 Mick, did I miss anything there? 
Michael Routledge: No. That's spot on. The gold grade is inherently low at Rochester, right. So we're seeing that, that isn't changing too much but we're getting a decent kick at least in the short term from the Yankee area for [indiscernible], which we're looking forward to seeing coming through the pipe. 
Michael Parkin: And then on your leach curves, usually, gold is obviously steeper than silver on the heat. When would you expect to kind of achieve like a steady state recovery rate or, call it, what's in the 90th percentile, 95th percentile. You're going to get up to maximum throughput around quarter end. Would it be fair to assume it takes a couple more quarters after that. So kind of starting in 2025, you'd probably see silver recoveries stabilizing at that point? 
Mitchell J. Krebs: Yes. Great question. Probably in the third quarter, when we are on this call to talk about third quarter, we'll have some data to talk about. And then obviously, with -- in conjunction with our year-end, we'll have a lot more visibility to share and talk about. But Mick, do you want to talk a little bit about the curves and reaching kind of steady state? 
Michael Routledge: Yes. And I think you nailed it. Exactly, the gold curve. We're going to see where we land in the second half of this year. And the silver curve, we really will steady out and we expect to be steady on both silver and gold through 2025. 
Operator: Our next question will come from Kevin O'Halloran with BMO Capital Markets. 
Kevin O'Halloran: Maybe just the first one on the LCM adjustment at Rochester. You mentioned there was a positive revaluation on some of the legacy leach pads, was that included in this Q1 LCM adjustment? Or is that something we should be looking for in future quarters? 
Mitchell J. Krebs: Tom, do you want to take that? 
Thomas Whelan: Yes. So we added approximately 900,000 ounces of silver and 6,000 ounces of gold. So we actually updated our model as a change in estimate. And we've recorded that in the first quarter. So the LCM would have been actually much higher had we not made that adjustment. But again, the team had gathered enough data and we'd felt confident that the recovery curves on the historic pads supported that -- the higher amount of gold and silver that we're expecting to see here in '24. So I hope that made sense. 
Kevin O'Halloran: Yes. No, that's helpful for sure. Do you have a sense of where that number would have been without the positive offset? Or maybe even just more broadly, what should we be looking for going forward on the LCM? 
Thomas Whelan: Yes. Look, it would have added in the $10 million to $12 million range benefit. So we would have otherwise had a larger LCM. The question I always get is, so is this it for LCMs. I'd like to hedge a little bit just to give Mick the bandwidth to get this ramp up done safely and make sure things go really smoothly. Could we have one in the second quarter, maybe, depends on prices, silver prices, how fast we start to see some of that silver come through. But certainly, Q3 forward, absolutely, we're out of the LCM business. 
Kevin O'Halloran: Okay. Great. And maybe you guys touched already on the higher grades under the ex-pit crusher at Rochester. But can you maybe comment more broadly on where you're seeing or where you're looking for upside at Rochester in terms of the grade profile, maybe sort of beyond this year? 
Mitchell J. Krebs: Yes. No, great question. In 2024, our budget out there is somewhere around $9 million for Rochester, which is a big increase relative to recent periods when we've been more focused in on the construction of the expansion. You go back to the mid-80s at Rochester, when the Rochester pit was first identified, the blinders were sort of put on, I think. And all the focus was on that structure and that deposit and ultimately, that project. And only in the last few years has -- have the blinders kind of been taken off and we've started to look more regionally. You might recall, we added almost doubled our land position out there when we acquired a lot of the land off to the west from Alio Gold a few years ago. So Aoife came into the picture here a couple of years ago and has really helped accelerate our thinking around where some higher-grade material could be on our existing land package. 
 And I'll turn it over to her in a second, but most of the focus right now is really on the eastern side of the existing pit, one area we call East Rochester. And then about 3, 4, 5 miles to the south of the Rochester pit is a historic mining area called Nevada Packard, there's going to be some drilling down there as well where we think there's some potential for some higher grade. And then between those 2 from the Rochester pit down to Nevada Packard, there's a lot of opportunity, untapped potential there that we'll start to investigate going forward. But Aoife, did I steal all your thunder? Or is there anything else you want to highlight? 
Aoife McGrath: That's what I suggested. Just to reiterate that the [indiscernible] mine life from those 2 pits. I mean, it's phenomenal that we have that much mine life ahead of us, and we're beginning to look more seriously at the area between them because of the work we're doing on the geology models. We're seeing that there's potential for higher grade on a whole host of [indiscernible] structures that make a really wide deformation level base between those 2 deposits. So it's most of what we will be looking at in the next few years is already on POA 11 is right there. It's permitted. We have good access. We're -- every day, we're increasing our understanding of the geology. So there's a lot of potential right on door step. It's a great position to be in, given the runway we have with that mine ahead of it already. It's really good. 
Michael Routledge: Yes. And additional to that, there is one area which is underneath our old historic leach part, number one, right adjacent to the crude pit. We call it the wedge actually. It's currently in our mine plans as waste because we can't drill them through the old, the old leach part, but we have put some horizontal drills into that, and it's given me a little bit of excitement. We still have to investigate it, but that's 40 million tons of waste currently in my plan. And in the next couple of years, we'll look to investigate that and see how much of that we can convert, but we're optimistic that, that will present a really impressive material that may be higher grade than the current mine plan. 
Operator: And our next question will come from Joseph Reagor with Roth MKM. 
Joseph Reagor: So most of my questions have been answered, but I did have a question. In the cash flow for Q1, there was $55.2 million impact from deferred revenue recognition, which compared to prior quarter seemed a bit high. What was driving that? What are the components that go into that? And should we expect that to be lower in the quarters ahead? 
Mitchell J. Krebs: Tom, do you want to cover that? 
Thomas Whelan: Sure. So in the financial statements, you'll see a reference to some gold prepaid activity. So we've got a prepaid at Kensington, which we've historically used to help us manage short-term working capital. And last year, we added prepaid at both Rochester and morph. Again, all of this just in the effort to smooth out the working capital as we went through the last of the expansion and are awaiting these wonderful ounces that Mick is placing on the pad. So we extended those -- we renewed those prepaids again. There was $55 million outstanding at the end of December. We paid it all back and then drew down on those prepaids again. 
 So just -- it's a nice way to help us manage working capital. In particular, the first quarter has 3 lumpy payments. The annual incentive bonus, we paid the Mexican EBITDA tax as well as the semiannual payment on the bond coupon. And so it was just -- it's a helpful way to manage working capital. As I mentioned in the -- starting in the third quarter, once all the free cash flow starts to arrive. The plan would be to begin delevering. And we'll delever based on what's going to be the highest interest rate between the revolver and prepaid. So expect to see those balances decrease in the second half. 
Joseph Reagor: I appreciate the color on that. And then one other question, just on kind of the overall company performance in Q1. It seems like you guys are already ahead of plan and the range on guidance at Rochester is a little wide. Is the plan like later this year to tighten that up once you kind of see what the first 2 or 3 quarters look like? 
Mitchell J. Krebs: Yes. That's a fair point, Joe, that as we get past the end of the second quarter with that run rate at Rochester, that's a big milestone for us. On the backside of that, refreshing Rochester's full year guidance would be probably a good thing to do. So you can look for that probably as we think about third quarter results. 
Operator: Our next question here will come from Brian MacArthur with Raymond James. 
Brian MacArthur: Can you just review where we are on your NOLs, your tax pools in the United States? Because as you eventually start to ramp up Rochester and generate cash and you have Wharf in the U.S. and Kensing in the U.S. Is most of that going to the bottom line? Because if I remember, there were significant tax pools, if you can just review how that works because that should impact, I guess, how much free cash flow there is available? 
Mitchell J. Krebs: Yes. Great point. It's an often-underappreciated asset that we have and that we will start to take advantage of. Tom, do you want to give Brian the... 
Thomas Whelan: Yes, by memory, in the 10-K is over $630 million of NOLs. And so we're not going to be paying any federal income tax in the near future. So absolutely, you should be forecasting zero federal income taxes for the foreseeable future. We do pay tax in Nevada, there's a state tax there as well as Wharf. And at these higher prices, there's maybe a small amount at Kensington as well, but nothing particularly material. 
Brian MacArthur: Sorry, and that was my second question. So just in Nevada, do you pay it or you get to credit all the capital you've just spent so that gets deferred a little bit too or do you start paying that right away? 
Thomas Whelan: No, we -- there's a Nevada net proceeds tax that we will start paying right away. 
Operator: And this will conclude our question-and-answer session. I would now like to turn the conference back over to Mitch Krebs for any closing remarks. 
Mitchell J. Krebs: All right. Well, hey, we appreciate everybody's time today and look forward to speaking with you all in August to discuss our second quarter results. Have a great rest of the day. Thanks again. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.